Operator: Good afternoon and thank you for joining us today to discuss Odyssey Marine Exploration Second Quarter Results ended June 30, 2014. With us today are Greg Stemm, Odyssey’s Founder and CEO; Mark Gordon, Odyssey’s President and Chief Operating Officer; and Philip Devine, the company’s Chief Financial Officer. Following their remarks, we will open up call for your questions, and then before we conclude today’s call I’ll provide the necessary precautions regarding forward-looking statements made by management during this call as well as a special note to U.S. investors regarding disclosure of mineral deposits as referenced in the SEC Industry Guide 7. We would like to remind everyone that this call is available for replay through September 11, 2014 starting later this evening. A webcast replay will also be available via the link provided in company’s earnings release as well as available on Odyssey’s website at www.odysseymarine.com. During this call you can also send written questions by sending them via the webcast system. We may not have time to take everyone’s questions but if you submit questions via the webcast system we will answer all remaining questions via email after the call. Now, I’d like to turn the call over to the Founder and CEO of Odyssey Marine Exploration, Mr. Greg Stemm. Please go ahead, sir.
Greg Stemm: Thank you very much. And good afternoon everyone. Thanks very much for joining us this afternoon. Right off the bat you are going to probably notice that there is something different about today’s call. I haven’t hosted any of the quarterly calls this past year and I’ll only be doing a brief introduction on this one today. A couple of reasons you haven’t heard from me on a conference call include my extensive travel schedule pursuing new projects and strategic initiatives and also the ever increasing role Mark Gordon in the day to day management of Odyssey including his daily interaction with the investment community. John Morris and I started Odyssey 20 years ago. We believe that with some imagination some hard work and a great team of dedicated people we could build a company that was capable of finding and recovering almost anything on the ocean floor. During the past 20 years with tremendous perseverance against many odds and confounding those who doubted us over and over again I believe we’ve built the best ocean exploration team in the world. We’ve found hundreds of shipwrecks and recovered more valuables from the ocean floor than anyone in history. In the process we’ve achieved a globally recognized reputation of excellence in deep-ocean survey, recovery, archeology and now even mineral exploration. Odyssey has never been a typical public company. In fact there are some people who question whether we should even be public. As we’ve grown our shareholder basis transitioned as well. It’s changed from a handful of friends who were betting enough to find a shipwreck to a long list of some of the most sophisticated and well respected firms in the world. With this shift in our investor base, came a change in expectations from our shareholders who have increasingly focused on the long-term viability of our business model and less on periodic successes. As we matured as a business we’ve seen a need to define and communicate a long-term vision that was less a tightrope walk and more of a predictable cash flow model, a move from betting on exciting but unpredictable grand slams to consistent predictable base hits. Some people are born entrepreneurs who are comfortable with risk and are willing to take calculated wagers on big potential outcomes. Many of the world’s most successful companies started with entrepreneurs who embraced those risks. As the companies grow and expectations of more consistency drive the investment decisions of the shareholders, the risk profile is often expected to change. Many of today’s biggest and most conservative mining outfits, oil and gas companies, technology and biotech firms started life as very high risk endeavors. And as they grew, they transitioned into more stable and predictable businesses. As we look at where we have come from and we look to what the future holds in store for us, it’s increasingly evident that it’s time for a transition in our business plan. We hear it from our shareholders and ironically, we even hear it from the shorts who like to exaggerate the risks and use false and misleading propaganda to scare the shareholders with those risks. When I brought Mark Gordon on board nearly 10 years ago, I recognized a guy who was already a successful entrepreneur and who fully understood how I viewed the world as an entrepreneur with the concept with a- unique new kind of Ocean exploration company. While Mark clearly understood my vision, he also brought a level of discipline and tactical consistency and stability to the team which in turn provided a great counter point to my own style of entrepreneurship. This happens with most entrepreneurial companies, I knew there’d come a time when I could best serve Odyssey by focusing on big picture strategy and new project development while day-to-day operations were managed by a disciplined, steady and focused hands of someone I trusted and as importantly the shareholders of Odyssey trusted. About five years ago, we started talking about Mark eventually taking over as CEO of Odyssey. Since that time Mark’s increasingly brought his disciplined, tactical approach to different departments of the company and taking over many of the day-to-day operations. More recently, he’s worked closely with me to develop the strategic direction of the firm. As part of this transition, over the past few years, Mark has also become the face of our company with the media and he’s become the primary interface with our investors, in addition to the day-to-day management functions he’s taken over. Every step of the way, as Mark has relieved me of responsibilities around the office, he surpassed all of my expectations and he’s proven himself to be not just a great manager, but also a truly great leader. As he stepped into this role, I’ve been freed up to focus on entirely new opportunities including the development of our mineral exploration initiatives which I believe hold amazing opportunities for us both the near and the long-term future. At the June Board meeting, we started our strategic planning session with a candid and frank look at where we are today, where our shareholders expect to see us go in the future, and how to best use the many talents that exists in the Odyssey team to take this company to the next level. After careful deliberation, we decided that it was time to formally announce the transition that we have been working on during the past several years. And I am pleased to announce today that before the end of the year, I will be moving to the position of Chairman of the Company and Mark Gordon will be replacing me as CEO. While this may come as a surprise to some, those of you who are closer to the company have undoubtedly seen this transition coming. I am on the road and away from the office too much of the time to manage day to day operations efficiently. And everywhere that Mark is taking responsibility in the company, his management and leadership skills have resulted in change for the positive. This transition frees me to focus on what I believe I am best at, the development of new opportunities throughout the world by leveraging the core competencies and expertise of the Odyssey team. In particular, you will see me concentrating on our Oceanica project and other mineral exploration opportunities in the coming months. These initiatives are so important to the company’s future that they deserve my absolute focus, and Mark taking the reigns as CEO frees me up to make sure that we maximize shareholder value with our offshore mineral capabilities and other opportunities that are just now opening up to us. Mark’s official transition to CEO will happen before the end of the year and I am absolutely confident that he is ready, willing and able to assume this new role. I am really excited about supporting him as he writes the next chapter in Odyssey’s history. With that I will pass the mic to our incoming CEO, Mark Gordon who I think you can all trust to lead Odyssey into a new era of exciting opportunities and outstanding results for our shareholders. Mark?
Mark Gordon: Good afternoon, everyone, thank you for joining us today. I’d also like to thank Greg Stemm and our Board of Directors for the confidence they are placing in me to take over as CEO in the coming months. I’ve been on Greg’s side for meetings with all our major strategic partners and I’ve learned a great deal from our experienced offshore team about shipboard operations over the past years. We’ll continue to benefit from Greg’s vast industry experience and vision as Chairman of the Board and I’m looking forward to applying my past experience, building and transforming companies, to Odyssey, as I take over as CEO later this year. Over the past few years, we’ve proven that we can be operationally successful, achieving things in the deep ocean that have never been done before. In 2011, we discovered the SS Gairsoppa and SS Mantola shipwrecks in less than two months. In 2012, we accomplished a record setting recovery of 48 tons of silver from a steel shipwrecks 3 miles deep and monetized all the cargo within a few months. In 2013, we broke that record with the recovery of 61 tons of silver from 3 miles deep and monetized all that cargo within a few months. This year, we’re performing recovery under contract on what is probably the most celebrated American shipwreck of our time, the SS Central America. Our portion of the value of the cargo already recovered is projected to show a healthy return on our investment. Over the past year and a half, we’ve discovered and validated one of the biggest and highest quality phosphate deposits in the world. This project has generated significant net cash inflows to Odyssey and Odyssey is the majority stakeholder in this highly attractive asset. Over the past 20 years, Odyssey has built a valuable portfolio of intellectual property projects, technology and proprietary methodologies that we will harvest for years to come, I’ve been at sea with our offshore team as they work and there is no question that they can continue to make amazing discoveries and conduct valuable recoveries. With changes that we intend to implement in our business model, we plan on taking our outstanding offshore success and leveraging it into a more predictable business model. This will be accomplished without cutting our core capabilities or our commitment to world-class archaeology exploration and science. We’ll be talking a little more about that throughout this call but first we’ll have Philip Devine, Odyssey’s CFO, walk you through the second quarter financials. Phil, I’ll turn the call over to you now.
Philip Devine: Thank you, Mark. I’ll only have time to cover some of the financial highlights of the second quarter of 2014 thus I encourage everyone listening to this call to read our Form 10-Q for further details. The second quarter was marked by several key financial events. On the positive side, in mid April we started to work on SS Central America shipwreck site and from week one of the project it has been a profitable project for us. This quarter we retired the $18 million of convertible debt notes issued in 2011 and 2012 which had an interest rate of 8% to 9%. We obtained a new bank credit facility of $10 million at current interest rate of close to 5%. We took delivery of a new deep-towed system to increase our capability to expand our commodity shipwreck recovery program. And finally, our consolidated net results improved by 63% and our operating cash flows improved by 39% compared to the same period last year. However not everything went well in Q2. Our share price declined significantly which clearly hurt Odyssey and all of our shareholders. We did not generate any revenues from the Dorado Discovery vessel. And the business as a whole we’re still generating a loss and consuming cash. But let’s look at some of the financial statement line items and events in further detail. First our revenues in the second quarter of 2014 were very similar to those in 2013. However, our operations and research expenses decreased significantly by 71% or $6.8 million due to two main reasons. The first one, in 2014 we conducted all shipwreck recovery work on the SS Central America project with our own vessel the Odyssey Explorer, whereas in 2013 we had chartered the Seabed Worker vessel for a cost of $4.6 million in the quarter, for the recovery of the Gairsoppa project. In 2014, we have recovered tens of millions of dollars worth of cargo from the SS Central America shipwreck and significant recovery continues. Pursuant to our contract for this work, we are entitled to receive $3.5 million of initial proceeds from the monetization of this cargo for what is called a priority recoupment related to the cost we incurred in Q2 for this project. As such, operating expenses were credited for this amount in Q2 and an equal receivable amount was recorded on the balance sheet. Although a large quantify of valuable items were recovered in Q2 and although Odyssey is entitled to 45% of all proceeds from the monetization of this cargo after the first tranche of proceeds is used for priority recoupment payment, no revenues were recognized in Q2 because they are dependent on the value achieved through a monetization event that has not yet occurred. Our cash balance at June 30, 2014 was nearly identical to the cash balance at March 31st. Although this cash balance is not enough to cover our cash needs over the coming 12 months, we believe that cash from sources such as the monetization of Central America cargo, the monetization of a partial stake in Oceanica, the collection of the $11 million due to us by Oceanica subsidiary, and other funding opportunities will allow us to continue to pursue our various projects. In parallel to these cash inflows we are reducing our cash needs by reducing operating and capital expenditures. Mark will get into more details on these items but to illustrate the cash outlook as of today let me mention three important items. One, we have negotiated another multi-million dollar loan linked to an exclusive long-term marketing partnership which provides us with access to upto $10 million. We have terminated the charter of the Dorado Discovery vessel and upon return of the vessel this year this will reduce our operating cash needs going forward. And three, based on new cargo recoveries from the SS Central America project this month we drew down a further cash advance on our $10 million bank credit facility which we obtained in May of this year. The SS Central America project has gone through phases of high rates of valuable cargo recovery and phases of lower recovery rates depending on which parts of the ships we’re working on. As an example, on the first day over the shipwreck site in mid-April, we recovered several million dollars worth of gold clearly visible on the surface of the seabed on the first dive. Then, we spent a few weeks performing the archeological pre-disturbance work including surveys and photomosaics when no recovery work was conducted. The recovery rate in May and the first half of June was very significant. The rate of recovery of valuable cargo items slowed down in the period between June 15th and July 15th as we spent time moving large deposits of debris from an area of the shipwreck believed to hold important artifacts effect and valuable cargo. This was a planned and necessary step in carrying out a thorough archeological recovery. These past weeks have again seen an uptick in recovery results coming from newly explored areas of the shipwreck site. It was this renewed rate of cargo recovery that allowed us today to draw down a further cash advance from our bank on our $10 million credit facility. With that, I will turn the call back over to Mark.
Mark Gordon: Thank you, Philip. Well, I have got a lot of what I want to talk about with everyone, so I am going to go quickly. As many of you know, I have been with Odyssey for over nine years and I am intimately familiar with the resources, strengths, weaknesses, capabilities and unique expertise of the company. I am also a bootstrap entrepreneur who has successfully built and transformed multiple businesses prior to joining Odyssey. While I haven’t officially taken the helm as CEO yet, I wanted to share some of my thoughts on things I will be focusing on with the management team over the coming months. As I prepared for this conference call, I was focused on the message the market has been sending us this year. It would be too easy to place all of the blame for our current stock price on the persistent effort of malicious short sellers amplified by their primary mouthpiece who appears to be getting desperate releasing six new short and distort reports filled with ridiculous inaccuracies last month alone. I get that [commencement] [ph] short sellers are an integral part of a healthy functioning market. What troubles me are those who go beyond simply spreading false and misleading information and are so intent on profiting at the expense of our investors that they’re willing to engage in fraud and manipulation to achieve this end. This line has recently been crossed and these actions are now being reviewed by appropriate regulatory and law enforcement agencies, who are considering prosecution options. When we’re in a position to say more on this topic, we will. We also know that some of our investors are taking it upon themselves to appeal to appropriate regulatory authorities, to take prosecutorial action and we want you to know that we applaud your individual efforts to protect yourselves and your fellow shareholders. Well, it’s easy to take aim at the unethical antics of the short and distort mob, the reality is that the market is speaking to us loud and clear and we must take full responsibility for allowing ourselves to become an easy target for those who are unrestricted by facts and truths in their attacks. It is our responsibility to prove them wrong. We will prove that Odyssey is here to stay and we’ve been strengthening our business model with a focus on ensuring that we do not allow ourselves to be an easy target for fear mongers who seek to profit at the expensive of shareholders. It is easy to become scared and confused when being bombarded by false claims, but I want to assure you of a few different things. First, we’re not facing an imminent liquidity crisis as has been repeatedly touted by the short and distort mouthpiece. Although, it was said that we would file bankruptcy on July 16th, that obviously didn’t happen. And after 20 years in business never missing a payroll and with many ways to fund our business plan, I can tell you that bankruptcy has never even been a consideration for Odyssey. I am confident that our current cash and established funding vehicles will get us through to our next significant monetization events. And I believe that we will realize significant proceeds from more than one of our projects and investments in the coming months, sums which could fund this business for years to come. In addition to our cash on hand and remaining capacity open on our bank line, we have just entered into a loan and long term exclusive marketing agreement which provides up to $10 million in new funding. There is no dilution of Odyssey equity and we receive an immediate $5 million with an additional $5 million in funding available to us in the coming months based on attaining certain mutually agreed performance targets, targets which we believe are well within our reach. So, contrary to the ridiculous claims of the mouthpiece for the shorts, we are not facing any sort of imminent liquidity crisis. And I am confident we have the cash and funding in place that will carry us through to our next significant monetization events which include expected additional cash inflows from a strategic investor in Oceanica as well as recovery proceeds from the SS Central America. Next, the Central America project is going very well. While it was said publicly by the mouthpiece for the shorts that and I quote, “the SS Central America project is not viable and there is little to no treasure left and at best the SS Central America has a very small amount of random passenger coinage or goal that was not initially worth recovering and then even if there was any gold left on site there is a strong chance it has already been recovered by another rogue salvage group.” Just last month some said it was unlikely that we would even return to the Central America site. Guess what, wrong on every count. Our portion of the recovered cargo’s value is already well in excess of our projected cost and productive recovery operations continue as we speak. For the past week, we’ve had a substantial recovery success and there are still significant areas of interest to explore on this site. Finally, the Oceanica phosphate project is progressing beyond our original expectations and is building significant shareholder value for Odyssey. The mouthpiece for the shorts once again proved his ignorance by claiming that Oceanica didn’t have permission for core sample drilling. Once again, just plain wrong. We did have all necessary permissions in hand. He also said that the project was destined to failure because the Oceanica phosphate sands dredging would overlap several fishing concessions. Again, not true. The proposed mining area is outside of territorial waters and does not overlap any fishing concessions. His “expert opinion” was that the in situ P2O5 concentrations for the Oceanica deposit were very low compared to other mines. Again completely not true. His ignorance of phosphate mining and processing apparently led him to compare Oceanica’s in situ concentration level with that of fully processed ore. That’s like comparing a gold mine’s concentration of gold per ton to that of fully processed and smelted gold. We’re not sure if that was ignorance or deliberate attempt to mislead, but either way I would be cautious believing any statements from the short and distort mouthpiece and while the short’s thesis is, “we believe Oceanica is not viable and it’s worthless”, well stay tuned. We plan to prove that completely false very shortly as well. Those of you who are with the shorts will believe what you want to believe or more likely will manufacture your own facts to suite your own ends. You will spin my message today in an attempt to further your manipulation, I get that, some doubters may even capitulate to the fear and uncertainty that you have propagated, I get that too. But today I am speaking to those of you willing to give us the benefit of an open mind and those who would rather focus on facts rather than conjecture and negative propaganda. In fact I believe that most of you listening today are true investors who are influenced by actual results not heresy. I speak with many of our investors on a regular basis and I know that you are frustrated because our cash generating events have been too few and too far between relative to our cash use. I completely understand this frustration and I know that we must change our business model to accommodate our current realities. We’ve already begun to offer our business model in a manner that reduces risk, enhances cash generation and continues to allow us to harvest our portfolio of asymmetric risk opportunities. I want you to know that significant change is underway and more is to come. I am asking you to screen out the noise being generated by those who have their own selfish motives even if they purport to contribute their personal gains to charity. I am asking you to give your management team a chance to allow actual results to influence your judgment as to whether OMEX is an investment you should buy, hold or sell. I urge you to make this decision for yourselves based on real facts not manufactured unsupported claims by unethical shorts whose stated intention is to create doubt in the minds of shareholders and other stakeholders. Greg Stemm, our founder recruited me to join Odyssey because he was familiar with my experience at building and reengineering entrepreneurial business ventures that were operating in highly turbulent environments. Greg has always encouraged me to apply that experience to all areas of the business that have been under my control. Now Greg and the Board are asking me to apply this thinking to our entire business enterprise and I am excited to take this on. We have begun reengineering our business model and you will be seeing the changes over the next month that demonstrate our commitment to this model. In the past we have made significant capital and operating expenditures on highly risky projects that did not necessarily have immediate returns matched to these investments or customers willing or capable of paying for our assets and services. Some of these bets paid off well but others did not. In the past we were willing to endure years of losses and cash burn with the expectation that one big successful project in the future would provide enough financial return to cover the past shortfall and fund future projects. We all agree that we need to sharpen our discipline in this regard and that we need to instead plan for yearly profitability and recurring positive operating cash flows. I want you to know that the strategy shift currently being implemented does not involve a wholesale change of the business, I am not here pitching you on a new dream. I am here to tell you that with changes in our current operations we can have a much healthier business model, changes are underway and more will soon be executed so that our monthly operating cash needs will be reduced by over a third by the end of this year. Our organization is not new to making these types of incremental changes that produce big results. Two specific examples during my 10 year at Odyssey come to mind. When I first joined Odyssey we had a direct to consumer sales operation for marketing SS Republic coins including an outbound call center. We eliminated this expense of department in favor of wholesale operation which leverages an established coin and collectible dealer network to market coins reducing overhead while enhancing profitability through a low-cost but highly scalable distribution channel. With the new marketing partnership we have just secured our marketing reach will go even further and we will have significant added sales capabilities without any increase to our overhead. Another example is that Odyssey had also built a large business unit staffed with some of the country’s most accomplished attraction industry executives, a great permanent exhibit was built by this team and the intent was to open multiple locations around the country. Unfortunately, the business did not work out as planned. Recognizing this reality we engineered the restructuring of this large full time fixed attraction business unit, which had significant CapEx and OpEx spend associated with it. We converted the business unit into a profitable travel and exhibit model with management and expense now outsourced to an industry expert firm. The business now accomplishes its intended goal sharing the excitement of exploration in a way we hope will incentivize the next generation of explores while providing similar income without expense exposure to Odyssey. So let’s take a look at where we. Odyssey has proven our ability, I’m sorry, at finding and recovering valuable items on the sea floor. This ability comes from a combination of talented people, special equipment, unique data bases and years of learning and real life projects. Our guys find the previously un-findable and recover the previously unrecoverable from the oceans depths. Odyssey is the undisputed leader in its field and in terms of technical accomplishments in the deep-ocean, period, end of story. Our pipeline of future projects is immense and has been added to significantly during the past few years. As we have developed a new industry over the past two decades, we must acknowledge that Odyssey has not yet delivered meaningful profitability, positive operating cash flows or stable returns to its shareholders. So, how do we take this industry success and demonstrate that this business can be made financially attractive and is capable of providing significant returns to investors. Let’s first take a closer look at our projects over the past two and half years. The 2012-2013 Gairsoppa Project generated $79 million of cash proceeds, of which $12 million went to the UK government and the British silver refiner. This left $67 million for Odyssey who in turn had $27 million of direct project cost excluding how Odyssey finance this project, the project [inaudible] left a project profit of $40 million or a gross margin of 60%. The recovered cargo was transformed into cash within a few months of recovery. Although we recovered 80 pounds silver ingots that typically only sell for spot silver prices through thoughtful financial and marketing management we secured monetization values for Odyssey well above the spot price of silver. The 2012 to 2013 Mantola Project was never selected as a standalone project given the limited cargo expected to be on board, $10 million to $15 million. It was selected as a project of convenience which could be executed in conjunction with the Gairsoppa Project leveraging the same tools and people while they were in the same area. Odyssey made two attempts to locate the silver part of the cargo on the ship, however when the silver was not rapidly found, Odyssey ceased spending on the project before the cost became excessive. Although this was not a profitable project, I believe it showed good management and financial discipline in cutting our loss short. At the end of 2013 and start of 2014, Odyssey was in a competitive bid with other organizations worldwide for the SS Central America project. Odyssey was the winner of this selection process, due to our unique combination of experience and skills ranging from recovery and archeology to conservation and cargo monetization. The 2014 Central America project had a lower risk profile than a brand new shipwreck project and thus Odyssey accepted this project with a lower than usual financial interest in the project. This project has been profitable for Odyssey from the first week of operations and it continues to be a highly profitable endeavor. For the last year and half Odyssey has been working on the Oceanica phosphate deposit. Odyssey has spent direct cost of approximately $20 million on this projection since inception; has received $27.5 million in cash for the sale of a minority stake in Oceanica and still retains over a 50% equity stake in this company that has a tremendous potential to produce significant returns for Odyssey investors. While the SEC and my lawyers ask me to remind you of the mining disclaimers that follow this call, I’m confident in telling you that the Oceanica deposit is one of the largest and highest grade new phosphate deposits in the world. Three of these projects have been highly successful both financially and technically. And the one unprofitable project was managed with financial discipline to limit the down side. With increased financial discipline, the use of the same technical capabilities and a tight control over overhead and downtime cost, we can convert our large pipeline of similar projects into consistent financial success going forward. The question many of you may be asking yourself right now is, if these projects pro forma are so positively standalone case studies, then why have you not been generating profits and more positive cash flows? The simple answer is that until recently, our investment philosophy has been geared toward aggressively expanding our portfolio of both shipwreck and mineral opportunities at a rate that outpace corresponding returns from these investment activities. With the benefit of hindsight, we now realize that we could have better adjusted our investment pace especially considering the fact that we were undercapitalized and were not positioned to fund this level and pace of investment. The good news is that these investments have allowed us to productively fill a pipeline of opportunities that will provide us amazing business opportunities for years to come. Now, we’ve decided to slow our rate of speculative investment while we harvest monetization events from this portfolio, in-turn these monetization events will fuel our next wave of growth. As we move forward, we will become even more disciplined about aligning our expenses and investments with defined opportunities that have demonstrable near-term returns. We’re going to continue to be innovative and invest in things that make sense financially and to strengthen the core aspects of the business but we intend to better pace our rate of investment to match expected timing of returns. Asset utilization is another key area of focus that will have a dramatic favorable impact on our model. Simply stated, if you have a committed asset that is only fully utilized, say 60% to 70% of the year, you’re better served paying an increased day rate cost to lease a similarly capable asset at the points in time that you need that capability, thereby achieving closer to a 100% utilization rate at lower total costs. To this end, we have terminated the long-term charter on the Dorado Discovery. This will help us reduce our monthly operational expenditures by 25% to 30% by 2015. But this doesn’t mean our capabilities in deep-ocean mineral exploration are diminished. We are continuing to develop projects to secure rights to valuable mineral resources in the deep ocean, also exploration work can be completed with our team aboard the chartered Dorado Discovery as needed or another ship chartered on a short-term basis for specific projects that are funded without carrying the cost year around. We are also going to focus on moving quickly to curtail expenses when investments in projects are not producing as predicted as we did with the Mantola project. The Board of Directors and management are laser focused on developing a strategy for producing consistent and predictable cash flow in the future. We are leaving no stone unturned when it comes to looking closely at financial discipline within the company and doing a careful analysis of how we run individual projects and the company as a whole. We have a robust portfolio of potential high return projects that we will execute in the coming years. Depending on when the SS Central America project wraps up, we have several projects under consideration for the remainder of 2014 and into 2015 including the commencement of reconnaissance work on one or more modern commodity wrecks. We recently took delivery of a new deep-tow system that was specifically acquired to move our commodity program forward. In the near-term, we will focus on the location and or inspection of multiple commodity targets those with bullion cargo can move relatively quickly to the recovery stage with the Odyssey Explorer if available and equipped for that particular project or short-term lease vessels. Recovery of larger commodity cargos will require much larger ships and will likely be postponed until the balance sheet can support the additional expense. We expect to provide more details on 2015 and beyond operational plans in our next conference call. As we couple more disciplined investment approach with our thoroughly proven deep-ocean exploration methodology, our future shipwreck projects can generate significant cash and profits, not only on a standalone project basis, but on a recurring annual consolidated company basis. With the same investment discipline, we will continue to invest intelligently in developing seabed mineral projects that will build shareholder value and short-term cash inflows as well. As we speak, we’re focused on creating the next Oceanica type opportunity for Odyssey shareholders. Speaking of Oceanica, despite the false statements and negative spin that shorts have tried to put on this, we couldn’t be happier with the project. Allow me to reiterate what we’ve accomplished during the short history of this venture. We announced this project in March, less than a year and a half ago. Since then, we’ve received $27.5 million in cash from the sale of minority portion of our ownership stake. We’ve completed an extensive program of core drilling to provide information for resource estimate. We’ve completed extensive environmental sampling, modeling and testing for the environmental impact filing. We’ve worked extensively with the senior members of JP Morgan’s expert chemical and fertilizer corporate finance team to maximize the value of the project for Odyssey shareholders. As we announced two weeks ago, the EIA is complete but has not been filed due to additional reviews and meetings with many stakeholders including environmental groups, local fishing interests and community leaders, as well as potential strategic partners, an additional reason that the filing of the Environmental Impact Assessment has been held up was the anticipation of receiving an extension to the mining concession. We certainly wouldn’t want to put out research in the public domain which would have shown potential competitors where the highest concentrations of phosphate lie in the concession until the extension areas were secured. I am very happy to announce that last week we were officially notified by the Mexican government that the extensions had been awarded to our subsidiary. These additional concession blocks are adjacent to the areas of high mineralization in the original concession area and add nearly 35,000 hectares to the original Don Diego mining concession. It is anticipated that these blocks will significantly increase the size of the deposit. Again, please remember to listen to the comments regarding Industry Guide 7 at the end of this call. These new concession areas are important not only because of the additional volume of rich mineralization in these areas but because it also clearly indicates that the Mexican government has accepted our plans for expansion of the project. Now that these areas have been secured, we’re awaiting final feedback from one more stakeholder before filing. They have promised a response by next week. So, after incorporating any new suggestions, we’re anticipating being clear to file what we believe to be an incredibly robust and scientifically sound environmental impact assessment. When we file the official document, we also intend to provide our shareholders with a 25 page English summary of the EIA for those of you who not speak Spanish nor have the time to read through the original 4,600 page document. We’ve had some very positive developments regarding potential strategic partnerships in the Oceanica project and we expect significant investment to flow into Oceanica in the coming months. As I mentioned earlier, this will put to rest any question about the real value of the deposit. In closing, I’d like reiterate that we hear your concerns and we’re in the process of transforming this business to address those concerns. Our management team, our Board of Directors, our employees, colleagues and partners believe whole heartedly in our business and our ability to make it a profitable and an enduring business. We know we need to prove that to you our shareholders and we hope you will give us the opportunity to do just that. And now we’re ready to open up the call to questions. Remember you can submit questions through the web interface which allow us to contact you with answers later, if we run out of time on the call. So, this concludes my prepared comments and I would now like to open up the call to question and answer. I see that we already have several written questions coming in via the webcast system, so we’ll try to take a mix of both oral and written questions. Perhaps we can start with some of the question from our callers and then answer some of the written questions. Operator?
Operator: Thank you. So, we will now begin the question and answer session. (Operator Instructions). And our first question will come from Mike Malouf from Craig Hallum Capital Group.
Mike Malouf - Craig Hallum Capital Group: Thanks guys. A lot of color, I appreciate all the information. I want to maybe just have a question for Philip. Can you talk a little bit about where you are now with cash and when you said $5 million immediate, I’m assuming that’s coming in the next week or perhaps you’ve even already drawn down on that and just kind of give us a sense as you look out over the next couple of quarters, how cash in and cash out looks to you?
Philip Devine: Okay. We publish the cash position as of June 30th, we’re not going to be releasing daily cash position updates, but perhaps to touch on a couple of your points. First of all, we have secured or negotiated a new loan agreement, the first $5 million of that loan agreement we expect to come in, in the coming days or week, but probably this month in the month of August. Secondly, we’ve drawn down an additional amount on the bank loan facility that we secured in the month of May, based on our cargo recovery results in recent weeks. And then we are in terms of the coming months looking at several different cash inflows, one being the sale of a stake in Oceanica or the repayment of the receivables that we have from the Oceanica subsidiary which amount to about $11 million today. We’re also looking at for this year eventual monetization of the Central America Cargo and then we’re looking at several other potential financing opportunities.
Mike Malouf - Craig Hallum Capital Group: That’s great. And then just to keep question on that, so where are we with regards to cash if you want to call it cash burn or just operational expenses? I think that before this some of the changes that you’ve talked about or that Mark talked about on the call we were looking at around $5 million a quarter. Can you update on where that will end up shaken out once you give the boat back? Thanks.
Philip Devine: Yes. Each month - it depends on which project we’re conducting. If you look at the last three months of operation until June 30th, the operating cash use was about $2 million or $2.1 million per month. Going forward it depends on the project and in that 2.1 million we had still the Dorado Discovery vessel, that vessel the termination will be in Q3. So we expect the full impact of that in 2015 and in the late month of 2014. The Dorado vessel we haven’t put out exact figures of how much that cost per month, it depends whether it’s moving or not, but it is significant it’s about 25% of our typical monthly expenditure.
Mike Malouf - Craig Hallum Capital Group: Okay, great. And then just one last question with regards to Oceanica I know Mark you talked about some of the strategic partners are working together with you. Would you file this EIA as the idea that’s file with the partners as part of the EIA or partner or would you go alone? Thanks.
Mark Gordon: Mike, the answer to that question is that will be filed when it’s ready for submission which is very shortly. Other than that I can’t really provide any further comment.
Mike Malouf - Craig Hallum Capital Group: Okay. Thank you all for taking my questions.
Mark Gordon: My pleasure.
Operator: (Operator Instructions) And our next question will come from Mark Argento with Lake Street Capital Markets.
Mark Argento - Lake Street Capital Markets: Hi, good afternoon guys. Maybe you could help me better understand the Central America and the economics there, I know you guys have it you get paid back out of first dollar as your some of your fixed cost maybe Philip if you could walk us through the math given kind of the [paid] [ph] value that has been recorded, thinking some of the [core filings] [ph] that have been recovered at this point, what does that mean in terms of dollars returned to you, let’s just take a number $25 million in value so far brought up and then how that math works out? Then secondly maybe talk a little bit about historical go-to-market, how would you begin to monetize this with the receiver and better understand the channel and the timing around it, is that a one year, two year, five year to better understand how this actually convert into actual real dollars for you guys?
Mark Gordon: Mark, this is Mark Gordon. You blended into an area of my expertise, so I’m going to grab the question from Philip. Starting with the first part of your question, how the economics work. Odyssey has paid a specified day rate for everyday; the boat is committed to this project. You notice, if anyone that’s had a chance to look at the financials, there was a $3.5 million credit to expenses in the quarter, that’s a function of taking the mobilization fee that was due us which was a fixed amount, plus the number of days that we’ve been at work out there. And those dollars as you mentioned we get 80% of first dollars until all of that is paid to us. I’d expect that number to be in the range of $5 million to $6 million before the end of the project, but the project goes on a lot longer, it could be a different number. But I think if we completed inside this season, I think that’s probably a good target so you’ve seen 3.5 million of that expense credit coming already. The second part of your question about monetization that hasn’t been determined yet. We’re really not in a position to speak to that. Our agreement under contract with the receiver is that we have a specified mechanism to monetize this cargo, it’s possible you could see it move in bulk un-conserved and that would happen very quickly. It’s equally possible that can maximize value. All of these coins could be conserved and graded and sold over a longer period of time. But of course we would only do that if the increase the value more than compensated for the time value of money. In either case based on the high desirability of these items I wouldn’t expect the sales cycle to be more than a couple of years at the far end of the range.
Mark Argento - Lake Street Capital Markets: And the $3.5 million credit expense, that’s not on a (technical difficulty), that’s on an accrual basis, (technical difficulty) received any cash at all from either the creditor or from a receiver or anybody else, so basically it is probably you’re putting the bill yourself and willing to pay back when dollars flow back?
Philip Devine: Yes, that is correct. So, we’ve recognized creditor expenses of $3.5 million and booked a receivable for an equivalent amount. With respect to our share of eventual proceeds of 45%, we haven’t recognized any receivable nor any revenue in Q2. 
Mark Argento - Lake Street Capital Markets: Okay, got you. All right. Shifting gears over to phosphates and the Oceanica project, so doing some more work on the deposit, it sounds like – the thing that’s different here than maybe conventionalism from what we can tell from talking to people in the industry is that if the concentration levels are such that you’re kind of laying out some of these (technical difficulty) reports, the concentration levels are high enough where the ability to make us economically viable to actually extract the phosphate and the map behind that actually becomes incrementally more attractive given the high concentration levels. I mean can you talk a little bit more about, there is obviously a lot of information out there, too much to some degree, it’s overly confusing, but can you -- this opportunity from your vantage point at least explain to us what is unique about this phosphate field? Yes, it’s been known to have been around for quite a long time, but why does it make sense now, and maybe touch on kind of some of the concentration levels and what that means to the potential value here of this project?
Greg Stemm: Okay. This is Greg and I’ll take that, because I have obviously been working a lot on it lately. There are three things that really contribute to the value of the deposit. The first, as you mentioned, is the grade. If it is very high grade and it can be taken up a notch by a very simple process of screening. The other important part of that grade is there are high grade deposits around the world, but many of those high grade deposits require removal of huge amounts of over burden, which make it very expensive to get to the high grade material. In our project, it’s -- the high grade material is in the first couple of meters in the surface, in many places, there is virtually no overburden. So, in landmines where you may have as much as a 5:1 or a 7:1 waste to ore ratio, we are at less than 1:1, which makes it, which then translates into that. The second very important component is your cost. The OpEx and CapEx for mining this and converting it into a marketable project makes it among the lowest in the world. It is much less expensive than virtually any of the new projects that we’ve seen coming online anywhere in the world. And so, the cost is significantly less, the grade is higher. And the third important aspect to this is its location. We have a real issue here in the Americas, and that is that we get all of our -- virtually all of our phosphates from Florida. There have been various estimates made about how long the phosphates here are going to last, the phosphate deposits in Florida could last for 10 or 15 more years or even longer, but the problem is everywhere that they’re mining in Florida requires destruction of additional environmentally sensitive wetlands, and every project that moves forward in the center of Florida is challenged by a number of different NGOs. So, the plan B after we don’t have phosphates to feed all of North America, after it will be [kicking] more phosphate from Florida, would be to import them from as far away as Morocco. So, location is absolutely critical because that alone can save $20 to $30 per ton, not to mention the strategic aspects of having it close by. On top of that, if you add the political considerations, which are very important, those of you that have been paying close attention, I’m aware that the Mexican government has recently announced an initiative to dramatically change their agricultural business by increasing their own internal access to fertilizers. Pemex recently made a significant investment to acquire a urea plant to be used for fertilizer. Mexico imports a huge amount of their fertilizers, and most of the agricultural lands in Mexico are significantly under-fertilized. So, the other important aspect of our location is being right there in Mexico, we fulfill really important strategic initiative by the Mexican government who really want to see this project move forward. So a combination of the grade, the costs, and the location make this I think one of the most attractive new projects in the world, especially when you add to it the size, which already with the work that we have done give it a 50 year plus mine life which justifies the CapEx necessary to build any type of processing plant in Mexico. All those things combined make this very attractive project and one that we have gotten great reception from in front of people that we think are going to be major potential important partners with us. Hope that answers the question.
Mark Argento - Lake Street Capital Markets: Sure. And then just dovetailing on that; I know you have -- it sounds like you have had conversations with strategics, I know, JP Morgan is involved and given their expertise in the sector, segment, what are -- maybe you could talk a little bit, obviously, specifics with the standalone conversations and juxtapose that to timing in terms of strategic asset sale. The one thing we have always seen is when small companies are working with big companies, they tend to take their (inaudible) time regardless, and maybe you could better walk us through how extensive have been the conversations; and more importantly, is there a (inaudible) here that you move forward regardless of if you have a strategic partner or not and get kind of the clock working in terms of your environmental impact to [fly wings]?
Mark Gordon: Yes Mark, it’s Mark Gordon. There is not a lot we can say obviously in detail about current state of discussions with strategics, but I can tell you one thing that’s really attractive about this deposit is that it takes advantage of existing dredge equipment that’s readily available. We have one of the best partners in the world who has lots of capability. So, we could go on this on our own with the pretty compelling business plan. I think if we had the right partner and they came online soon enough, certainly that would be a great thing, but we’re not going to be beholding to anybody to move this project forward.
Mark Argento - Lake Street Capital Markets: (Inaudible).
Mark Gordon: Well, I promised when I started this Q&A that we take couple of you that are sending your questions in via e-mail. So let me jump on a few of them. So, [Campbell] who asked regarding SS Central America Monetization; what is the risk that precious metal prices will fall? Well, I certainly don’t know the answer to the question about what is the risk that precious metal prices will fall, but I’m happy to report that there is not a very direct correlation between precious metal prices and the prices paid for collectable coins, often referred to as numismatic value. The other thing that’s really exciting about this project for our client RLP and for us as their partner is that there is a very established market for Central America collectable coins and they’re still in hot demand. In fact, I was at a coin show this past week where some of these items were being bid on at auction and such in very high prices. So again directly answering your question Campbell, it really doesn’t matter what happens with precious metal prices, because there isn’t a direct correlation to values being realized for these types of numismatic or collectable products. There is another question from [Artrich] and that question is with Royal Boskalis as a dredging partner, will you have them review the Oceanica EIA? I’m happy to report that our partner Royal Boskalis has been intimately involved in every step of the way in everything we’ve done with this project including the EIA. What’s really important actually is they have a wholly-owned subsidiary in country, so it’s actually their Mexican subsidiary that’s working directly with us. Another thing I’d point to out and one of the real attractions to why we went with Royal Boskalis besides the fact that they are one of the best in the world at this is that Mexican subsidiary, who has done over 200 dredging projects in Mexican waters using substantially or exactly the same equipment over the past 20 years, and all of those 200 projects required environmental approval and all of them have received the requisite environment approvals. So, I hope that answers your question. I don’t know if there’s any others, which one has ?
Operator: [David Lewis]
Greg Stemm: Okay. [David Lewis] asked two questions. Why can’t the company provide more regular updates on SS Central America recoveries? I’ll answer that one first David. The answer is that, again this is not Odyssey’s project. We’re a contractor to the Court appointed receiver for our LP, and all of the updates are being reported via the courts in Virginia. We submit update reports every 25th now of the month, and those reports are immediately put up on our website, so if you haven’t seen them already, I’d encourage you to go to look at the three that are up and next one will be up shortly within a couple of weeks. And as was mentioned by Philip and I think echoed by me, it’s been a good period of time for recovery, so I am excited for you to see those results when they’re published. The second question from David was how long is it expected after EIA is filed before decision is made by the Mexican government? And David the answer to that question is the government has a statutory 60-business-day review period. So, that’s roughly 90 calendar days, so that would be our expectation. It is possible they could ask for one additional period if they had questions, but our best estimation right now is that within about 90 or so days of submitting, we would expect to get a response. Are there any more?
Unidentified Company Representative: Yes, the operator has it.
Greg Stemm: Operator, do you have any questions in your queue.
Operator: Yes. And due to time constraints, we do have time for one more question and that question today will come from Rob Johnson with RJFS.
Rob Johnson - RJFS: Yes, to all of you, question is there is a filing deadline time on behalf of this CADG group, the Columbus Group, I believe after the July 9th Court decision, has that expired or did they file an appeal or have they not filed an appeal or is that one that’s still open, what’s your commentary on that?
Greg Stemm: Yes. The CADG, the company who challenged the Receiver’s right to [service] on the cargo, as many of you may know lost their bid to replace the Receiver of [silver] last month. Consequently, we believe this is now a new issue and the challenges for the salvage operation and the Receiver’s rights for the project have been resolved. In addition, the Court last week dismissed the claims of the only three new parties who try to file claims to the shipwreck cargo, and then no legal appeal has been filed.
Rob Johnson - RJFS: So we are clear today on legalities like that or that type of challenge than we were 60 days ago or 30 days ago?
Greg Stemm: Correct.
Rob Johnson - RJFS: Okay, great, great. That’s it.
Greg Stemm: Okay. Thank you.
Rob Johnson - RJFS: Okay.
Greg Stemm: That’s it. No other questions?
Operator: Yes, at this time this concludes our question-and-answer session. And right now I’d like to turn the call back over to Mr. Gordon. Sir, please go ahead.
Mark Gordon: Sure. Well I just want to thank each of you today and I especially want to thank you for your insightful questions and comments. In closing I just like to say that I am really excited about the new challenge that’s been put in front of me by Greg and our Board and I look forward to having a significant impact. And I would just ask you to judge us by facts not by rumor in any (inaudible). So, with that, I am done. I thank each of you and thanks for participating today.